Operator: Hello, and welcome to the Newmont Corporation's First Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. By pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Tom Palmer, President and Chief Executive Officer. Please go ahead. 
Tom Palmer: Thank you, operator. Hello, everyone, and thank you for joining our call. Today, I'm joined by Karyn Ovelmen, our Chief Financial Officer, and Natascha Viljoen, our Chief Operating Officer, along with the rest of my executive leadership team. We will all be available to answer your questions at the end of the call. Can you please state our cautionary statement and refer to our SEC filings, which can be found on our website? We have begun the year with a strong operational performance, which in turn has driven a robust financial performance. These results enabled us to generate record first quarter free cash flow and have kept us on track to deliver on our full-year commitments. Last week, we also reached an important milestone for Newmont Corporation with the completion of our divestment program, positioning us to continue to strengthen our balance sheet, return capital to shareholders, and apply our full attention to our go-forward portfolio. With the first quarter and our divestment program now under our belt, Newmont Corporation's priorities for 2025 remain clear and unchanged. First, to strengthen our safety culture. Second, to stabilize our 11 managed operations, and third, to execute on capital returns. Starting with our safety culture, for every person who works at Newmont Corporation, safety is more than a priority; it is a core value, one that is fundamental to who we are and how we operate. In the first quarter, we saw a notable decrease in the frequency of significant potential events that we are experiencing across our business, a key lagging indicator for safety performance. This improvement was driven by visible felt leadership in the field, a more consistent application of our safety systems, and an increased focus on learning from incidents and implementing corrective actions. Over the last year, we have been diligently undertaking a refresh of our safety work. With the completion of our divestment program and the clarity of our go-forward portfolio, this month, we launched Always Safe, our reinvigorated safety program focused on delivering a set of prioritized improvements across our portfolio of managed operations and projects, as well as our exploration and legacy sites. Moving to our operations, during the first quarter, we produced 1,500,000 ounces of gold and 35,000 tonnes of copper, in line with our full-year guidance and the indications we provided on our last earnings call. As a consequence, we generated $2 billion of cash flow from operations and $1.2 billion in free cash flow, both first-quarter records. On the back of safe and stable operating performance, these results were favorably impacted by the rise in gold prices in recent months, driven by unprecedented volatility in our global financial and commodity markets. Although it is still early days, we are closely monitoring the evolving tariff situation and are very much focused on managing the variables that are within our control. I'm really pleased we have successfully completed the divestment of all six of our high-quality non-core operations through the program we announced early last year. In February, we finalized the sale of Musselwhite and Eleonore in Canada and Cripple Creek and Victor here in the United States. Last week, we completed the sale of Porcupine in Canada and Ahafo in Ghana. From these five transactions, we have now received more than $2.5 billion in after-tax cash proceeds this year. When you combine these proceeds with those from the sale of Telfer and our other investments last year, we have generated a total of $3.2 billion in after-tax cash proceeds. On top of that, when valued at today's prices, we now have nearly $1.2 billion in both equity and deferred consideration. This is a significant milestone for Newmont Corporation, as the completion of this divestment program over the last year has enabled us to sharpen our focus on safely improving the performance of our go-forward portfolio of 11 managed operations and three projects in execution. To further strengthen our balance sheet, with $1.5 billion in debt retired over the last twelve months, including $1 billion repaid since the start of this year, and to deliver on our third priority, capital returns. We have now completed approximately $2 billion in share repurchases from our $3 billion program, including $755 million so far this year. Building upon our solid performance year to date and looking ahead to the rest of the year, we remain on track to achieve our 2025 commitments and progress our disciplined capital allocation priorities. As we move into the second quarter, we will continue to focus on safely generating industry-leading free cash flow, maintaining a strong financial position and investment-grade balance sheet, and returning capital to shareholders with predictable dividends and ongoing share repurchases. With that, I will now turn it to Natascha to take you through our operational performance and then Karyn to take you through our financial results and capital allocation achieved. Over to you, Natascha.
Natascha Viljoen: Thank you, Tom. Our first quarter operational results were in line with our previous indications, and we remain on track to meet our full-year guidance. With this in mind, from an operational standpoint, we are focused on two simple but very important objectives. First and foremost is continuing to strengthen our safety culture, as Tom covered at the start of his remarks. Second is executing with consistency and focus to deliver on our performance metrics. I will now stick through the progress we made during the last quarter at each of the large long-life assets in our portfolio. Starting with our Tier one copper-gold operation, Cadia, in the first quarter, Cadia delivered consistent production whilst also successfully completing planned maintenance activities at our mill. We are continuing the transition to our new panel cave, PC2-3, and expect gold and copper production to be approximately 60% weighted towards the first half of the year. As factored into our guidance, we expect to continue delivering lower grades until the panel cave is fully ramped up and the last drawbell is fired in the second half of 2026. In funding to the test, we are progressing the underground development for PC1-2, and we are also continuing to catch up on the historical underinvestment in both tailings remediation and storage capacity, as mentioned during our last earnings call. At Tanami, we focused on underground development as planned. As a direct result, we continue to expect to access higher-grade stopes in the third quarter and deliver more than a 30% step-up in production in the second half of the year. In addition, we are also advancing the expansion project at Tanami with the completion of the shaft and underground materials handling systems remaining on schedule. We completed the installation of a painter's or an inch shaft barrier, which is a significant milestone for the project. The painter's allows us to isolate the lower part of the shaft from work happening in the upper portion. With this barrier in place, we are able to rise for the bottom 60 meters of the shaft while concurrently fitting out the top portion with services and infrastructure without risk of harm to the people below. This is just one example of the innovative work our team is doing to safely and efficiently advance this project. Due to these efforts, we remain on track to begin commissioning our 1.5-kilometer shaft in the first half of 2027 and reach commercial production by the second half of that year. At Boddington, we completed our scheduled plant shutdown for maintenance and primarily processed lower-grade stockpiles in the first quarter. We continued stripping laybacks in both the north and south pits, which is expected to continue through early next year. However, by the fourth quarter, we expect to start adding higher-grade gold ore from the mine to our mill feed. As a result, we anticipate a strong finish to the year from Boddington, with gold production approximately 53% weighted to the second half of the year. Shifting now to Lihir, we delivered solid gold production in the first quarter and successfully completed a total plant shutdown for maintenance, building upon two autoclave rebuilds last year. We expect to maintain this production momentum into the second quarter. We saw production decline slightly in the second half of the year when we began processing lower-grade material as part of our planned mine sequence. Moving to Penasquito, in March, we achieved a new daily record with 10,000 gold equivalent ounces produced in a single day. In the first quarter, we continued to deliver strong gold production and steady co-product production from high grades in the Finasco Pit. Gold production levels are expected to remain relatively steady through the second quarter before beginning to shift to a higher proportion of silver, lead, and zinc content through the third and fourth quarters and a lower proportion of gold, as planned. At our Ahafo complex, Ahafo South continued to deliver strong gold production from both the Subika Open Pit and underground operations. We expect this trend to continue through the second quarter before we move to mining lower-grade ore from the Awonsa Pit. As we mine the last ore and complete the final phase of the Subika Open Pit during the second quarter, we are closely monitoring and safely managing the interaction between the open pit and Subika underground mining activities beneath it. As production from Ahafo South declines in the second half of the year, we expect new low-cost ounces to come in from the Ahafo North project later this year. During the first quarter, we completed the highway diversion and are preparing to commence the commissioning of the mill and processing facilities next month. We expect to pour our first gold in the second half of the year, and we look forward to declaring commercial production towards the end of the year. Finally, I want to touch on two of the emerging Tier one assets in our portfolio. At Cerro Negro, our focus remains on strengthening safety performance and culture at this underground mine. Although there were temporary pauses in milling during the first quarter as part of our focused efforts to improve safety, the team did an excellent job stockpiling the ore mined and positioning Cerro Negro to ramp up production in the second quarter. Yanacocha has remained a strong performer, increasing production volumes by 13% over the last quarter. We expect to maintain this momentum through the rest of the year as we continue to recover ounces from the leach pads with the application of our patented injection leaching technology. Taking all of these factors into account and including the ounces from our non-managed assets, we continue to expect that gold production from our core portfolio will remain around 52% weighted towards the second half of the year, with approximately 24% of this year's production volumes expected in the second quarter. We also continue to anticipate that capital spend from our core portfolio will remain first-half weighted as indicated. With lower than planned capital expenditures for the first quarter, we expect sustaining capital spend at several of our global managed operations to increase in the second quarter, particularly at Cadia, where we are investing in a tailing strategy to support lift development and extend mine life, as mentioned in our last earnings call. I will now turn it over to Karyn for a review of our financial priorities and performance. Over to you, Karyn.
Karyn Ovelmen: Thanks, Natascha. Let's turn to the next slide and get started with our first quarter results. As Tom mentioned, Newmont Corporation reported strong financial results in the first quarter, driven by robust production volumes and a supportive gold price environment. Gold all-in sustaining costs remained in line with our full-year guidance at $1,651 per ounce for the first quarter. Taking this into account, Newmont Corporation delivered adjusted EBITDA of $2.6 billion and adjusted net income of $1.25 per diluted share. The most significant adjustments to net income for the quarter were $0.25 primarily related to a gain from the sale of non-core assets as part of the successful completion of our divestiture program that Tom mentioned previously, and $0.25 related to unrealized mark-to-market gains on equity investments and options, primarily driven by an appreciation in the shares received from the sale of our Telfer operation and interest in the Havieron project. Most noteworthy, we generated $2 billion of cash flow from operations and $1.2 billion in free cash flow, setting a new record for first-quarter cash flow performance at Newmont Corporation. These results are exclusive of the $1.7 billion in after-tax proceeds received from the divestitures completed in the first quarter and the approximate $850 million received in April. However, as we look ahead to the second quarter, we expect working capital to be adversely impacted by the regular timing of cash tax payments, which are typically highest in the second quarter, and the timing of interest payments, which are typically highest in the second and fourth quarters. Additionally, we expect to pay approximately $200 million in cash taxes related to the finalization of our non-core divestments. Although the proceeds are recorded as investing activities on the statement of cash flows, these tax payments will come through as working capital adjustments. Also impacting working capital, we expect to continue ramping up spending for the water treatment plants at Yanacocha, which was significantly lower than planned during the first quarter. Additionally, we expect our sustaining and development capital to increase into the second quarter compared to the first quarter, as Natascha just mentioned. With the recent completion of our divestiture program, our financial results will no longer include the production and associated free cash flow from our non-core operating assets, which was approximately $200 million in the first quarter. While we are pleased with our record cash performance during the first quarter and the strong cash flows we expect to generate in future quarters, we realize that we still have work to do to improve our margins and leverage the full strength of our portfolio to the benefit of our shareholders. As we look ahead to the remainder of the year, we remain committed to our shareholder-focused capital allocation strategy, which includes maintaining a strong balance sheet, steadily funding cash-generative capital projects, and returning capital to shareholders. Beginning with our first commitment, we maintained a strong and flexible balance sheet and ended the quarter with $4.7 billion in cash, above our target average of $3 billion. It's worth noting that in addition to our cash balance, following the successful completion of our divestiture program, our equity stakes in Greatland Gold, Discovery Silver, and our existing position in Orla Mining are now valued at over $1 billion. As Tom mentioned, the proceeds generated from our non-core divestiture program have more than exceeded the initial commitment we made to the market when we announced the binding agreement to acquire Newcrest in May of 2023. As a result, we achieved our debt target of up to $8 billion faster than originally anticipated, and we reached an outstanding principal balance of $7.8 billion as of March 31. Taking into account the strong gold price environment we are benefiting from today and the feedback we have received from our investors, we are continuing to assess opportunities to further reduce our outstanding debt, proactively creating a flexible and resilient balance sheet that is able to navigate commodity price fluctuations. Moving to the second commitment in our capital allocation strategy, we continued to steadily reinvest in our business with the goal of generating robust free cash flow over the long term. In the first quarter, we incurred $59 million in sustaining capital and $323 million in development capital as we continue to advance our highest return projects from our deep organic pipeline. As we look ahead, we expect capital spend at several of our managed operations to ramp up in the second quarter, as I just mentioned. Finally, moving to our third commitment, we continue to return capital to shareholders. We declared a fixed common first-quarter dividend of $0.25 per share, consistent with the past six quarters, and we repurchased $755 million in shares so far in 2025. As we continue to generate free cash flow from our unmatched portfolio of Tier one operations, we remain well-positioned to reward our shareholders with predictable dividends and ongoing share repurchases in 2025 and beyond. With that, I'll turn it back to Tom. Thanks, Karyn.
Tom Palmer: So bringing it all together, we have had a safe and strong start to the year, producing 1,500,000 ounces of gold, 35,000 tonnes of copper, as well as 16 ounces of silver, and 59,000 tons of zinc, generating record first-quarter free cash flow of $1.2 billion and adjusted EBITDA of $2.6 billion, and we remain on track to achieve our 2025 guidance. We also completed our divestment program, receiving more than $2.5 billion in net cash proceeds this year. We continue to advance our disciplined capital allocation strategy, strengthening our balance sheet with $1 billion in debt reduction, as well as delivering $1 billion in shareholder returns through our predictable dividend and ongoing share repurchases so far this year. We are very focused on ensuring that we carry this momentum into the second quarter and the remainder of 2025. With that, I thank you for your time and turn it back over to the operator to open the line for questions.
Operator: We will now begin the question and answer session. We ask that you please limit inquiries to one primary question and one follow-up question. To ask a question, you may press star, then one on your touch-tone phone. If you are using a speakerphone, please pick up your headset before asking a question. To withdraw your question, please press star followed by 2. Our first question comes from Matthew Murphy with the company BMO Capital Markets. Matthew, your line is now open.
Matthew Murphy: Hi. Congrats on the strong start to the year. Maybe just getting right into an operational question, looking through sort of the details on the quarter. Lihir cash cost dropped a lot, and I know you're focused on running it for margin. How should we think about the cash cost profile there? How is that program on mining for margin? Are you being surprised at all on the cost levels you're achieving?
Tom Palmer: Yes. I'll pick it up, and then Matt, then pass across to Karyn to build. Certainly, our focus in Lihir is very much about configuring the mine to sustainably work through particularly phase 14a. So our focus very much got through some big shutdowns last year. Full rebuild of two autoclaves, including the large one autoclave four, which is 40% of the throughput capacity. We took that back to the shell and then built it back out again. So a lot of activity in the second part of last year, getting the plant set with a couple of those big shutdowns and then configuring the mine to ensure we've got the roads of an appropriate size with the appropriate drainage. You'll see that step up in sustaining capital in the second quarter associated with continuing some of that work. So from a Lihir operations perspective, very much about setting both the mine and the processing plant up for stable, reliable performance. Karyn, do you want to pick up the specifics of Matt's question?
Karyn Ovelmen: Yeah, Matt, in terms of the cost at Lihir, there's approximately a $100 million impact from inventory adjustments in the quarter. This represents a non-cash impact to cash, and so that will normalize over time through the year. So the expectation is that Lihir will meet its full-year cost guidance.
Matthew Murphy: Okay. Okay. Thanks. And then as a second question, just you've been very active on the buyback in April. I think you noted it would be related to the asset divestitures. Can you give any commentary about how you think about the pace of the buyback? Like, will it be a first-half-of-the-year weighted capital return because you've got more proceeds coming in, or do you look at maybe going at a slower pace over the rest of the year?
Karyn Ovelmen: Thanks, Matt. We're continuing to do the share buyback. We do have a build in cash, and as you pointed out, we do have the divestitures that came in, and the proceeds came in, in April. So that couples with our outlook in terms of the gold price, elevated gold price. So we will continue to do the share buyback as the cash flow comes in. Obviously, it's been a very robust share buyback program with the overperformance on the divestitures. So the proceeds from that, we're continuing to do share buybacks with. Then, of course, with the elevated gold price, we'll continue to do share buybacks through the remainder of the year and into next year.
Matthew Murphy: Okay. Thank you.
Tom Palmer: Thanks, Matt.
Operator: Next question comes from Daniel Morgan with the company, Barron Joey. Daniel, your line is now open.
Daniel Morgan: Hi, Tom and team. Philosophical question. The gold price is near record highs, higher than I think any of us anticipated. What does this mean for how you manage your business, if anything? Thank you.
Tom Palmer: Hey. Good day, Dan. Thanks for the question. Been through a pretty significant transformation acquiring Newcrest, integrating those operations, configuring some of those new operations to deliver on their long-term potential, and completing a pretty ambitious divestment program over the last twelve months. So literally last week, we've got our hands on our go-forward portfolio. We're in an investment cycle. We've got unit costs that are high where they should be for a portfolio of the quality of the one we've assembled. We are very, very focused on delivering the safety, cost, and productivity performance this portfolio deserves irrespective of the gold price. We'll enjoy the benefit of the gold prices, but our focus is on delivering the potential of the 11 managed operations that we are currently operating, commissioning Ahafo North later this year, completing the shaft, commissioning that in '27, continuing to build out panel cave two-three through the course of this year and into next. Ultimately bringing on one-two in the years after that. So a very sober focus on what we control. Thanks, Dan.
Daniel Morgan: Oh, thank you. Then maybe just turning to growth. Could you just opine on which project might be coming to consideration, you know, to the board level or, you know, what the timeline is for the major projects that you might be considering over the next twelve months or more to sanction for investment?
Tom Palmer: Thanks, Daniel. The starting point sort of linked to your earlier question is a very, very robust view on the amount of capital that we allocate towards development capital. The $1.3 billion is fully consumed at the moment with Ahafo North, the Tanami expansion, and the block caves at Cadia. But as we commission Ahafo North in the second half of this year, and importantly, as it ramps up and hits its straps in 2026, we have an opportunity to think about whether there is a project that deserves capital going forward. When I look at our project pipeline, I would argue that Red Chris is in prime position and it's spot to lose. But we've got work we're doing this year to build out a feasibility study to a JORC standard. There's quite a bit of work happening this year on that study. We continue to do some underground development work to continue to develop out some of the early works in that cave. It's important that we engage with the First Nations and the British Columbian government to ensure we've got the permits in place so that when, ultimately, if the project washes its face, we've got all pieces in place to build out that block cave. But as I look at our project pipeline, look at where we sit with Red Chris and the quality of that ore body, we've got another Cadia with multiple block caves ready to bring on. I think it's Red Chris' block cave's spot to lose in terms of the next project that we sanction.
Daniel Morgan: Thanks so much, Tom.
Operator: Next question comes from Tanya Jakusconek with the company Scotiabank. Tanya, your line is now open.
Tanya Jakusconek: Great. Thank you very much for taking my question. Just wanted to ask about the tariffs, Tom. Sorry, I have a cold. I just wanted to ask about your initial work, and I understand that this tariff situation is quite fluid, but I'm trying to understand from a very high level. When you look at your cost structure, I'm interested in what part of your cost structure do you think will be greatly impacted by the addition of tariffs? So I'm gonna start first with the consumable side, which is about 30% of your cost structure. Maybe you can talk a little bit about what sort of consumables would you see being impacted. Then the second portion of the cost structure, obviously, is labor, which is a significant portion. That would come with inflation. Then I'm assuming another portion would be any sustaining capital that would involve new equipment, fleet, etcetera. So I'm interested if you have any new fleet replacement or other that happening this year. Thank you.
Tom Palmer: Thanks, Tanya, and well done for getting through that with that cold. Obviously, as you say, lots of moving parts at the moment that we're monitoring closely. I'd also say that one of the benefits of having a globally diverse portfolio is we can manage these sorts of risks across our global business. So we're well placed from that perspective. Maybe just stepping through the different categories as you talked about. As you said, labor represents half of our cost base, our direct cost base. What we're seeing in terms of the labor, both our employees and the contract services, and we enter into long-term relationships with the various contractors, is consistent with what we're seeing in our budgeted amounts. So we're seeing no particular impacts in half of our cost base around some of the tariff volatility. Look at that 30% of materials and consumables and the different components that sit underneath that. Grinding media is heavily exposed to steel prices, so we are seeing a bit of upward pressure on grinding media. Again, we source that from a number of different locations. We have multiple supply chains with our operations around the globe. Ammonia and cyanide mixed trends, primarily being influenced by regional gas price fluctuations, and we're actually seeing some reduced natural gas prices in Europe. We're seeing some volatile natural gas costs in the US, so a bit of a mixed bag when it comes to ammonia and cyanide. We look at explosives. At this point in time, it's looking pretty flat. We'll keep monitoring that. Again, we continue to actively monitor particularly that materials and consumables area. We've got a global supply chain team. A lot of those arrangements are long-term, strategic in nature, and those relationships are robust. 15% of our cost is energy. If anything, we're seeing some tailwinds in the hedging price based upon what oil is doing. We're getting a little bit of a benefit from that. Lots of moving parts, monitoring it closely, but at this stage, what we're seeing is consistent with what we assured for this year. Hopefully, that provides some color for you, Tanya.
Tanya Jakusconek: Maybe just a follow-up on my sustaining capital question as well. Are you having to replace any significant fleet trucks at the operations this year? That could be impacted should...
Tom Palmer: Nothing specific for us, Tanya. The new mine at Ahafo North got fleet there now. It's been there for some time. Then I've got to look across the rest of our business, there's nothing in terms of fleet change out for our managed operations through the course of this year. You're then looking at rotables that may be more parts that you're buying that may come from different parts of the world. The two operations, the two areas that may start to see some tariff pressure would be Penasquito with some parts that you might buy for the US or Red Chris and Brucejack, but monitoring that closely, but in the overall scheme of things, nothing material.
Tanya Jakusconek: Okay. And no labor contracts are expiring this year?
Tom Palmer: In terms of labor agreements, we've got an interesting one at Cadia, which is essentially an Australian workplace law. You've got some underpinning agreements that underpin our staff contracts. We're going through a negotiation with our team at Cadia. There's nothing particularly of note when it comes to tariff volatility. We've just completed one at Penasquito in recent times. We're working through one at Merian. Again, I would describe those negotiations as pretty standard fare, and nothing around tariff volatility that's part of those discussions. They're more domestic issues in terms of shift rosters and the like.
Operator: The next question comes from Lawson Winder with the company Bank of America. Lawson, your line is now open.
Lawson Winder: Thank you very much, operator, and hello, Tom and team. Nice quarterly results. Thank you for today's update. Could I ask about Ahafo North, a key project for Newmont Corporation? Could you maybe describe the progress in 2025 to date and how it's tracking to your expectations in terms of development ramp-up spend? Have there been any surprises, whether positive or negative? The question I really want to get to is when you turn to 2026 and think about the progress to date, is that run rate production level of 275,000 to 325,000 ounces expected to be achieved in that year?
Tom Palmer: Yes. I'll try to pick up the second part and get Natascha to... It's a pretty exciting time for Ahafo North as you've seen everything come out of the ground. The blueprint for Ahafo North is essentially the same as Merian and Ahafo South. Bringing on that mine and the processing facility is something we know well, and lots of people have got lots of experience commissioning that type of ore through that plan. What we've got in our guidance for next year and the ramp-up to those numbers is consistent with getting to commercial production towards the end of this year, then going through our paces to get up to that level. I wouldn't say, Lawson, there's upside to that. I think it's a robust view of bringing on a mine or a flow sheet that we know well through 2026. But, Natascha, do you want to sit back and talk about how the project's going here and now?
Natascha Viljoen: Yeah. I can probably... Hi, Lawson, just go into a little bit more of the details of what we've completed this year so far. I think the project is really tracking well. The first thing that's important for us, considering that we did lose a colleague when we lost Kirby last year, is, of course, safety. So there's a material amount of focus. We have... It's the high construction period that we're in now. We have high numbers of people on-site and making sure that the concurrent work, multiples of contractors on-site, are being done safely. A critical milestone for us to really start or continue the stripping and complete the tailings dam was the diversion of the highway diversion. That was completed. So we've managed to really get into the tailings dam and continue the stripping of the mine. Power lines and with high voltage switch yard completed, SAG and ball mill completed, and our CIL tank corrected. Currently, it's really that last bit of the plant we're into piping, into electrical, into cabling. So quite a bit of cabling coming in now. The critical part is absolutely on the plant cabling and piping to get ready for commissioning of the processing facilities. I think tracking well, good focus from a safety point of view, and we're all looking forward to the first gold pour.
Lawson Winder: Okay. Fantastic. Thank you for that, Natascha. If I could ask my follow-up question on Lihir. With the benefit of another quarter, what are you thinking now as a long-term sustainable level of gold production for that asset? You did 600,000 ounces last year. Obviously, we know you've got it to 600,000 this year. Is something in the middle, like 700,000, a good through-the-cycle average number to think of?
Tom Palmer: Yeah. I think, Lawson, if you look at Lihir, we're basically getting that pit configured to the size mine that it is and ensuring we've got the processing plant in good nick in terms of availability and reliability. As we configure that mine and build out phase 14a, we're in the lower grades of ore for the next couple of years. So you're in that period of configuring that mine and moving waste and therefore processing more low-grade ore and stockpile. I think, as I indicated in the February call, that we come out of that stripping campaign in the 2028 time frame. So you're going to be relatively consistent with where we are now, but as you step out of that stripping campaign and get into the high grades, you start to get into the, for an open pit mine, high twos in terms of grams per tonne. Then you're looking at about a 30% increase in gold production as you come through that. Our expectation will be how do you then start to ensure that you can maintain those production levels because we've got the mine appropriately configured going forward. So if you've taken the time to configure that pit properly, step away from the engineered wall around a minor rock, and do a more traditional layback. Then, as we've indicated, plus 30% increase in production on 2024 levels, kicking in from about 2028.
Lawson Winder: Thanks, Lawson. I think you probably have a tough question.
Operator: Our next question comes from Hugo Nicolaci with the company Goldman Sachs. Hugo, your line is now open.
Hugo Nicolaci: Hi, Tom, Natascha, Karyn. Congrats on the strong start to the year. I also first just wanted to follow up on costs and the timing of costs moving into the second quarter. Look, I appreciate that this is largely on timing, but is there anything to call out in terms of work completions or equipment delivery that we should think about in terms of tangible impacts to production into the second quarter?
Tom Palmer: No. It's pretty vanilla, Hugo. Production in Q1 and Q2 will look very similar. Sustaining capital is the one we... I think it was in our prepared remarks, so a bit lighter in the first quarter. Then as we get into some final weather in different parts of the world, some increased standard of a bit more standardly here around roads and drainage. Brucejack, Red Chris as you get into the better weather. Some greater spend there. The 52% weighted sustaining capital in the first half of the year versus the second. So it's that balance account. You'll see higher sustaining capital spend in the second quarter, but everything is tracking with what we would expect. So it's no particular call-out at all.
Hugo Nicolaci: Great. Thanks for clarifying, Tom. Then just the second one picking up on Karyn's comments around the opportunities to repay debt early. How should we think about the objective there? I mean, is it debt levels or flexibility or interest costs? Just if I look at the debt facilities you have in place at the moment, other than the 2039 notes, most still have pretty compelling rates in today's environment. Your liquidity continues to grow organically on the capital management framework. So I guess the question is, with Goldverde, what do you think you need that flexibility for?
Karyn Ovelmen: Sure. No specific intent at this time, but as we move through this high gold price environment, coupled with a very uncertain economic time, we will look for opportunities to further buffer the balance sheet, right? So while we're continuing this reinvestment in the business and returning capital to shareholders, with the predictable dividend coupled with the continued share buyback. Well, if there's opportunities for us to continue to buffer that balance sheet, we'll look to do that. Again, we've got a robust share buyback program in place as a result of the gold price as well as the divestiture proceeds. Of course, we've got the dividend where it needs to be from a fixed predictable dividend that we believe the market will ascribe value to. So again, I think we have an opportunity here as we go forward to continue to shore up the balance sheet, but no specific intent at this point.
Operator: Next question comes from Daniel Major with the company UBS. Daniel, your line is now open.
Daniel Major: Yeah. Yeah. Thanks so much for the questions. The first one, well done on the execution in the divestments so far. When you look at the portfolio now, I know you've done what you've targeted, is it still optimal? Is there anything else in the portfolio you think could be monetized? I'm thinking specifically like Merian, Cerro Negro, relatively higher cost and smaller scale. Why do they sit in the core portfolio?
Tom Palmer: Yeah. Thanks, Daniel. I mean, it's been a significant body of work for us over the last three years to integrate and rationalize. The most important thing for us to do now is bed down our go-forward portfolio. We've literally had the go-forward portfolio for seven days. Ensuring that we're focused on safety, cost, and productivity delivering on the potential of the elephants in that portfolio, the big tier one assets, and then realizing the potential of those emerging tier one assets. Having a red hot go at realizing the potential of those emerging tier one assets. At the end of the day, if we can't see a pathway to tier one, then that's a decision down the track. But we're literally seven days into our go-forward portfolio with the full bandwidth of this leadership team. So our focus is getting after delivering on the potential of the tier ones and proving up the potential of the emerging tier ones. So that's very much our focus.
Daniel Major: Okay. Thanks. My follow-up on the cash returns, you clearly indicated the intention to return the divestment proceeds, at this kind of gold price environment, you generate a meaningful additional cash flow above that sort of level. I mean, could we expect buybacks to significantly exceed the divestment proceeds this year if the gold price stays at this sort of level?
Karyn Ovelmen: Right. So no change to our financial policies. Right? So we've talked about holding an average of $3 billion of cash on the balance sheet at quarter-end. So that'll be a higher balance in terms of the timing of our cash needs. But generally speaking, that's where our cash will be. We've always said up to $8 billion. Like I said, we'll continue to look at maybe some opportunities to bring that down a bit. Our debt cap and our sustaining capital are set. Beyond that, we've got the dividend that's also set, a fixed dollar dividend. So beyond that, any free cash flow that we're generating, the expectation is we will continue to return that capital via share buyback.
Operator: Our next question comes from Anita Soni with the company CIBC. Anita, your line is now open.
Anita Soni: Hi, Tom. Congratulations on a solid start to the year. Everyone's asked a lot of questions on capital allocation and probably have asked most of the questions that Tanya asked about tariffs. I guess, now at the point where I'm like, could you go through just from a geopolitical standpoint, the regions that you operate in, is there anything that you're thinking about or concerned about with not just tariffs, but more of a sort of a, you know, as, you know, foreign direct investment and foreign aid is pulled from various areas, are there any regions where you're concerned about your investments or changes in government stance on royalties and taxes and things like that?
Tom Palmer: Thanks, Anita. I guess my initial reaction to that question is where Newmont Corporation chooses to operate has always been very deliberate. So we look to be in the jurisdictions where we are able to have respect for the rule of law, a stability or investment agreement is in place and respected, and the relationships we build with the governments are strategic and long-term. That's been very much part of Newmont Corporation's theme for a long time and very much part of how we shape a go-forward portfolio, which is globally diverse, helps balance out some of those risks. But I think about the different locations that we're in, whether that be Australia, Papua New Guinea, Ghana, Canada, Mexico, Suriname, Peru, and Argentina, they are all very robust jurisdictions and seeing certainly something we'll continue to monitor, but we certainly think about the length of time we've been in those jurisdictions, the relationships we have, you continue to manage those relationships constructively, but seeing no particular risks as we see the world in front of us.
Anita Soni: Okay. Thank you. Then just another follow-up, I guess, on capital allocation. You've done a path of, obviously, divestments and someone else just asked about was our first the rationalization to the portfolio, but are there any areas where you think you might want to improve your exposure? I guess the best way to put it? I'm just trying to understand with the cash balance that's obviously going to grow at these gold prices, are you looking to perhaps invest in some smaller scale projects or improve your sort of JV portfolio or things like that?
Tom Palmer: I think that we're pretty clear the work we've done to arrive at the portfolio we have, the discipline around the capital allocation to the development projects, and ensuring that we stick to that $1.3 billion discipline. As much about the cash you allocate to that as it is the project execution risk. No changes on that front. I think I was saying in one of the earlier questions, we've been through two or three years of pretty significant transformational change where we've had our hands on our go-forward portfolio projects, operations, and our joint ventures. I think very much focused on stability and safely delivering our commitments from our portfolio.
Operator: Next question comes from Andrew Bowler with the company Macquarie. Andrew, your line is now open.
Andrew Bowler: Good day, Tom and team. Thanks for not going on a exact day a lot last year, but just a question on the pipeline. I mean, obviously, you know, loud and clear. It sounds like Brucejack's sorry. Red Chris is certainly the next one off the rank. But in terms of Wafi Golpu, can you just give us an update as to how that's going? Any discussions you've had recently with the government or, you know, very loose timelines on that project, please?
Tom Palmer: Thanks, Andrew. The process with Wafi Golpu, obviously, it's a joint venture with Harmony. We've had a framework MOU that shapes what our very competitive basis for ultimately a mineral development contract that then be converted into a special mining lease. We continue to work constructively with the PNG government and work very well with Harmony as our joint venture partners. We're very clear on boundaries at which we're prepared to negotiate. We continue to have robust discussions. We continue to regular engagement with the PNG government up to and including the Prime Minister. We look forward to continuing to have constructive engagement and to be able to convert, which I think is a very robust and competitive memorandum of understanding into a mineral development contract, and a special mining lease. But we're prepared to sit at the table and negotiate and take as much time needed to ensure that we have an agreement in place that ensures the capital intensity for a project of that size can get a return of that investment over time.
Andrew Bowler: Okay. Yeah. So first, you know, long story short, you're just at a stage where you're trying to hammer out a deal in terms of, you know, an economic share arrangement with the government essentially. Is that a good way to summarize?
Tom Palmer: Yeah. That is a good way to summarize it, Andrew, and it's really important you get those agreements in place at the start before we start making big commitments. So that's where we'll put the time and effort.
Operator: Our last question comes from Al Harvey with the company JPMorgan. Al, your line is now open.
Al Harvey: Yes. Good morning. Good day, Al. So I just quick follow-up on the divestments. You did mention you've still got some value there in the equity stakes in Greatland and Discovery. So just wanted to get a sense of the option for these and just remind us of any lockup periods on those stakes.
Tom Palmer: Yeah. Thanks, Al. There are some lockup periods on those different agreements. I don't actually have that at the tip of my fingers. I'm looking across at Peter Toth in the room, who can maybe talk to both of those. Discovery's definitely got a lockup of the order of twelve months. We just closed that transaction in the last week. Then Greatland's linked to their listing on the ASX, and that's getting a little bit of media coverage in Australia as they gear up for that in the June time frame. Then the ability to maybe think about what that holding might look like and how we might transact. So there are some lockups and also some listings on the ASX to go to happen, Al.
Al Harvey: Sure. Thanks, Tom. Thanks, man.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Tom Palmer for closing remarks.
Tom Palmer: Thank you, operator. Thank you, everyone, for making the time to join this call. For the Australians on the call, hope to get some time off for Anzac Day and a bit of time to reflect upon the sacrifices that others have made. Otherwise, enjoy the rest of your day or evening. Thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.